Operator: Ladies and gentlemen thank you for standing by and welcome to the Public Storage Third Quarter 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the conference over to Mr. Clem Teng. You may begin your conference.
Clem Teng: Thank you and thank you all for joining us for our third quarter earnings call. Here with me today are Ron Havner and John Reyes. Before we begin, I want to remind those on the call that all statements other than statements of historical facts included in this conference call are forward-looking statements subject to a number of risks and uncertainties that could cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in today's earnings press release and in our reports filed with the SEC. All forward-looking statements speak only as of today, October 26, 2017 and we assume no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. A reconciliation to GAAP for the non-GAAP financial measures we are providing on this call is included in our earnings press release. You can find our press release; SEC reports and an audio webcast replay of this conference call on our website at publicstorage.com. Now I'll turn the call over to Ron.
Ron Havner: Thank you, Clem. We had another solid quarter, and challenges with the few, Hurricanes, but overall a solid quarter. Operator let's open up for questions.
Operator: [Operator Instructions] And your first question comes from the line of Gaurav Mehta with Cantor Fitzgerald.
Gaurav Mehta: Thanks. I was wondering if you would comment on your views on rent growth versus occupancy at this point in the cycle, how you are thinking about pushing rents and occupancy?
John Reyes: Hi, this is John. So our rent growth during the quarter are moving volume was down, let me start with that about 3.5% and the take rate was down about 3%. But there is very little room to really push for rental rates at the moment, because demand still remains very soft throughout the country for us. We also have a negative occupancy spread that continue to grow through the quarter, through the end of the year. And because through the end of the quarter, so I don't really see as we move forward into the fourth quarter that we're going to see a lot of traction on pushing street rates to at least over the next three to four months probably. And that's my best guess.
Ron Havner: I just add to that that, again this quarter across all of our top 20 markets, revenue growth, the rate of revenue growth was down year-over-year. So we're not seen any markets with accelerating rates of revenue growth. All 20 were done, I think that's the third or fourth quarter in a row.
Gaurav Mehta: Okay. And as a follow-up on the expense side, looks like your add-in [indiscernible] expense was down for the quarter, does that mean that, it's been less than promotion and discounting? A - John Reyes We did spend less on promotional discounts, but on the expense side it's really television. If you recall, I think Q2, our TV spend accelerated and we commented that we didn't think the TV that we did was very effective and, so we did not spend any TV in Q3. So that's really the big swing and we increased our internet spend, so net-net in that numbers an increase in internet spend and a decrease in television. Operator And your next question comes from the line of Smedes Rose with Citi.
Smedes Rose: Hi, thanks. Just a kind of follow-up on that. On your second quarter call, you talked about I think you guys were experimenting a little bit with pulling back on the advertising and having some significant rate cuts across a number of your markets. So are you - given the more competitive environment I guess [indiscernible] would you pleased with the results that you saw in the third quarter and is that something you would continue to do in a going forward now?
John Reyes: Well, in particular in one market, we ran a pretty aggressive price reduction in Q3 in terms of rate reduction versus last year and we were little disappointed that we did not get a corresponding change in moving volume to offset the change in price reduction. Overall that's not true but as John touched on earlier, there was not a lot of pricing power across the platform.
Smedes Rose: Okay. And then could you just touch a little bit on what you have saw in the Hurricane impacted markets, I guess in parts of Florida and your properties in Houston in terms of increased occupancy or the ability to price up there, would you be more sensitive if customers that came in because of the Hurricane in terms of increasing your prices on the [indiscernible] maybe just some color around the strategy there.
John Reyes: Sure with respect to Houston, where we saw the biggest impact, no we did not increase prices, we're very careful about that. So, no we did not. We did see over a 100% increase in moving volume across Houston, which is welcome, given the way Houston has been performing. So we had a nice uptick in moving volume. Florida, some markets up, some markets flat, but in all of our Florida markets in terms of revenue growth for the quarter, Miami was one of the worst in terms of revenue growth down - the rate of growth down 7.1% Tampa down 7% and West Palm down 5.7%. So, not as much benefit in the Florida markets as we go out in Houston.
Operator: And your next question comes from Ryan Burke, with Green Street Advisor.
Ryan Burke: Thanks Ron. Just continue with the Hurricane impact. I guess particularly in Houston given the benefit there, at some point in time that temporary fill from Hurricane related occupancy becomes a drag, is that 12 months out of that 24 months out, how long do these customers typically stay?
John Reyes: Ryan, generally we see an uptick in activity for about 12 to 18 months and then to your point, it becomes a headwind. This activity normalizes and so then you're up against tough comps. So assuming these customers stay for the norm, I'll call it, if there is a normal Hurricane, certainly the Harvey in Houston was not a normal Hurricane, but assuming what we have historically seen, that will be there for 12 to 18 months, so that will give us a lift. The camps obviously will be easier going into 2018 in Houston than they there were in 2017 but this will certainly give it a slight up lift.
Ryan Burke: Yeah, thanks. And I'm going back in time a bit here on, but back in 2005 when you were talking about Florida Hurricanes, on one or two earnings calls you didn't foresee much benefit. Your view at that time was that occupancy was already pretty high and that it remained high sort of during and after the Hurricanes that's toward to the end of that year, end of 2005 and I think NOI growth in those [indiscernible] properties was something like 20%, when the same-store was doing something like 7%, so that ended up being a real benefit. But besides the fact that occupancy there is a starting point of occupancy now as higher than it was backed than, what was different this time about Florida for your properties not to fill up as much as you might have thought?
John Reyes: Well if you recall in 2005, we had three Hurricanes through Florida. So far, not come would, we have only had really one.
Ryan Burke: Yes. Okay.
John Reyes: Last time it really impacted, I recall our Orlando markets, and kind of Northern Miami for allotted till that area. So, we have more properties in Florida this time, but the severity in the fact that there was one versus three is I think the biggest difference versus 2005.
Operator: And your next question comes from the line of Nick Yulico with UBS.
Nick Yulico: Thanks. Ron hoping to get your latest thoughts on the supply landscape, which markets, sub-markets you operate in or seen the most impact? And is the pressure meaning, there is sort of the visible pipeline in the supplying new markets is that been increasing this year?
Ron Havner: Again there is not good stats on what is supply, and we really focus on properties near us. I would say that, we've talked about Huston, pre-Hurricane, supply, Dallas has got supply. If you look at the markets that had meaningful degradation and occupancy Q3 2017 versus Q3 2016, sure that's down 1.8%, Miami is down 1.8%, Portland is down 1.6%, Chicago is down 1.6%, Dallas is down 1.6%, Atlanta is down 1.5%, Denver is down 1.3%. All of those markets we have seen a meaningful increase in supply in those markets. Did you take Portland, we've been told there is 30 properties, under consideration to be developed in that market which is a big uptick in supply, Denver, we have been saying quarter-after-quarter big uptick in supply, and we still see 30 or 40 more properties coming into that market. So, I'm hoping given the slowdown in renovates, in occupancy and renovates, and reduction in pricing power, that will create some kind of headwind for people to put developments on hold or simply abandoned doing them. Certainly, the tone is changed with respect to developing properties and getting 4%, 5% rate increases in revenue, quick fill-up and all that kind of stuff. I think it's going to be we'll have pretty meaningful uptick and supply this year. I don't know about next year, but even if we have a meaningful reduction, extra is going to be a couple years as each properties fill up.
Nick Yulico: It's helpful. And then, I was hoping to get the move in versus move out rate delta which you usually provide in the Q and K. And also just to get a feel for that impact that's been an impact, I guess in last year move-in, move-out, delta changing. How is that playing out this year, and how at some point, when is the timing issue where, some of that negative impact perhaps eases? Thanks.
John Reyes: This is John. It starting to ease a little bit now if you look at Q3 versus Q2. Where in Q3, people were moving in with average monthly rates of about $131 for this quarter, and they were moving out at about a $143. So, it's about $12 negative delta there. Last year, for the same quarter, it was a $135 move-in, a $143 move-out, it was about $8. So, we're down about for call it about $4. In the second quarter, we were down about $8 differential. So, it's narrowing, but it's still a negative. When will that turn positive or at least neutralize, it's difficult to say.
Operator: And your next question comes from the line of Andrew Rosivach with Goldman, Sachs.
Andrew Rosivach: Hey guys. Thanks for taking my call. You are the first stores need to report so potentially others may have the similar trend in same-store. But if you look at least through 2Q your same-store revenues have been under a couple of competitors to be excited really now for years. So, I'm just wondering I don't know if you ever thought about it, through best practices or from competitive spirit, if you ever looked into why there has been the gap between you and the other large competitors?
Ron Havner: Well there is two big reasons, one is difference in the way we report same-store versus the way they report same-store and two, market mix.
Andrew Rosivach: Do you think their particular markets that are dragging you, you down versus the broader market?
Ron Havner: Well if you and you can see this in the queue, you can see which markets have greater headwinds, I just touched on Florida, Charlotte, Dallas, Houston, Denver those are all markets they have pretty significant headwinds for us. I don't know the exact market mix EXR relative to us in those markets. I know cube is much greater concentrated in the North East and particular in New York. While there is anticipate a lot of new supply in New York, our occupancy in New York was only down 10 basis points year-over-year and our revenue growth the rate of revenue growth was only down 40 basis points year-over-year. So, in terms of way to change revenue growth, New York was the best in Q3 of all of our top markets.
Operator: And your next question comes from the line of Jeremy Metz with BMO Capital Market.
Jeremy Metz: Hey guys. Just want to go back to Houston, some of the Hurricane impact quickly and just think about the supply picture there. Just Ron, giving your experience through seeing the stuff, do you think that's what's going on down there actually squash out some of that supply or is it more likely to possibly just to lay it further down the road here?
Ron Havner: You know Jeremy, I don't know because in terms of what guys are going to do it is certainly been an uptick in demand and the properties, I think we delivered four properties in Houston in Q3 and one of them we delivered mid-July and it's already 60% occupied. So, in terms of new development, our timing couldn't have been better for those deliveries in July. But depending on, so they get flooded, they have where they half way are they ground, and their property get water damage and all that, that may impact their decision to build or not to build.
Jeremy Metz: Okay. Thanks, and John just one for you on the balance sheet, in terms of the bond offering the cash buildup we saw, you can more than fund your current pipeline with routine cash, so how should we think about redeployment from here. Is there anything in the pipeline, so we just kind of thinking about cash as there to be opportunistic of something does shake free?
John Reyes: Well in terms of pipeline I think we have disclosed everything in the press release, of what our development pipeline is in our acquisition commitments are. Other than that we don't have anything else specifically here mark for that. There are some preferred set of callable, but we haven't made that decision whether to call them or redeem them yet. So we look for probably some opportunistic uses of the cash that we're currently sitting on.
Operator: And your next question comes from the line of David Corak with FBR.
David Corak: Hey, good morning out there. Not to harp on the Hurricane too much, but I just want to touch on a real quick. I realized that it might be difficult to exactly quantify how much benefit you got from Hurricane during 3Q, but do you have a sense is to what maybe overall same-store numbers would have been excluding the Hurricane, even if you can just say actual versus your budget?
Ron Havner: Well I don't think it was a net benefit, in fact we wrote off a fair amount of rent, fees, late charges we held back rental rate increases to customers both in Houston and in Florida. So if you put all that together excluding the seven properties or eight properties that we shutdown, our revenue in September, basically Q3 was done about $1.5 million.
David Corak: Okay. That's helpful.
John Reyes: We really see the benefit of the moving, I don't think really until we get to Q4, assuming those customers stay.
David Corak: Alright, make sense. Okay, and then turning to expenses, how do you think property taxes will trend next year versus this year, is kind of 4.5% level and then overall should we expect kind of normal levels or we had a pretty good run rate for expense growth in the quarter.
John Reyes: You know, just talking to our property tax, before I walked into this room and I think we're still expecting for 2018 and it's still early but we are still expecting 4.5% to 5% increase, which is kind of what we have been experiencing over the past three years or so. So, we think that will be probably fairly consistent going into 2018.
David Corak: Okay, thanks.
Operator: And your next question comes from the line of Todd Thomas with KeyBank Capital Market.
Todd Thomas: Hi, thanks. Ron your comments about a lack of pricing power, just curious you have been taking down rate and increasing discounting and promotions, what you attribute the decrease and movements to is there anything that you can point to on the software demand.
Ronald Havner: Well, couple of quarters ago I touched on what I thought might be some macro-economic factors, I would just add to that you know the rate of both employment in kind of look in two ways, both the rate of growth and employment has slowed, while we are at low on employment, the needle is not really moving materially lower and most markets for the rate of change and employment hasn't really move very much and that to me would be an indicator of activity, you know as people get more jobs, they do more things once everyone once employee kind of their activity level has slowed, and then 2, the other big headwind is new development. I start saying in 2015, things are probably peaking, and developments will create headwinds for pricing power and we are here in 2017 and in fact developments are accelerated and it is creating the headwind for pricing power. Markets where we have not seen a material level of development such as LA, San Francisco, Seattle, but we have modest pricing power we don't have the headwinds that we have in markets where there is total amount of new supply. Charlotte, Denver, Huston Dallas the all the ones I named.
Todd Thomas: Okay and then, in terms of acquisitions I guess you continue to chip away here but John your comments about being opportunistic with the cash on the balance sheet you know just curious if you could comment on that a little bit further?
John Reyes: There is no much to comment on, I mean would be at about 400 to spend on our current development line with development pipeline over the next 12 months and taking quarter end and we had $30 million or $50 million of acquisition, we'll probably have a few more in the quarter. So, if you just take that cash right there, it's almost a $0.5 billion.
Todd Thomas: Is there - what's your interest level like to expand in New York city and Manhattan today is that something that you would like to increase your exposure to, is that a market that you like to increase your exposure to, if you had the opportunity?
John Reyes: We are open to every market, it really depends on the opportunity what's the price per pound of where the property, the competition ratio, the demographics, New York like any other market where we happy to grow into New York, if it was the right opportunity.
Todd Thomas: Okay. Thank you.
Operator: And your next question comes from the line of Juan Sanabria with Bank of America.
Juan Sanabria: Hi, thanks for the time, just curious, if the period end data points that you have previously pointed to being an indicator of kind of the next quarters performances, that was in anyway positively or negatively affected by the Hurricanes, I am not sure if those numbers were script from the properties that were taken out of the same-store pool.
John Reyes: Yeah, if you look at the end of Q2, occupancy was down 70 basis points, in place rents were up 3.6%. So, you would have expected same-store revenue growth of 2.8%, 2.9%. I think we came in at closer to 2.6%, and most of that difference 2.6% to 2.9% is attributable to the right-off of rents and delays of fee renovate increases for the Hurricane impacted properties.
Juan Sanabria: Okay.
John Reyes: So, going into Q3, occupancy is down 110 basis points, and place rents are up 270 basis points. So, you're looking at a 1.6% increase in place heading into Q4.
Juan Sanabria: That 1.6 is it necessarily being impacted by the Hurricane delays and rent increases or not, sorry?
John Reyes: It is, the quarter having impact in Q4 from the delay of rental rate increases, I think about a $0.5 million.
Juan Sanabria: Okay. And then just a question on the demand side, are you seeing any kind of offsetting benefit particularly in some of the more urban areas from a pick-up in business demand, whether it relates to e-commerce or not?
John Reyes: We haven't really looked at it, in that fashion. So, we couldn't really say.
Juan Sanabria: Thank you.
Operator: [Operator instructions] And your next question comes from the line of Van Cart [ph] with EverCore ISI.
Unidentified Analyst: Hi, good afternoon. I know, you gave us on occupancy delta sets earlier on, but can you talk about the revenue and NOI growth within your top market?
John Reyes: This is John again. So, let me start with the revenue growth first. So, Los Angeles which is our by far a largest market, for the quarter was up 5.3%, San Francisco 3.6%, New York 2.6%, Chicago was down about 0.8%, Washington DC was up 0.9%, Miami was down 1%, Atlanta was up 1%, Seattle was up 4.2%, Huston was down 3.5% and Dallas was at, was a positive but it's only 0.2%. Those are a top ten markets in that with respect to revenue growth. On the NOI growth, Los Angeles was up 6.3%, San Francisco 4.3%, New York 2.3%, Chicago down 2.7%, Washington DC was down 0.1%, Miami down 3.1%, Atlanta up 5.1%, Seattle up 4.3%, Huston down 5.8% and Dallas was down 1.8%.
Unidentified Analyst: Okay. That's helpful. I was just hoping to go into the LA and [indiscernible] trends there, they're decelerating to say what seems like, some of that new supply, can you talk about what you think might be going on there in terms of facing power?
John Reyes: I think, Los Angeles for us is really the deceleration, is really a comp more of a year-over-year comp issue, it's not the market that we're seeing a lot of new supply. So I think, our - moving rates are probably flat to slightly up, and we've got pretty good moving volume, pretty good occupancy, Los Angeles given its size one of our best performing markets, that represents about 16% of our revenue, it's a good market for us.
Unidentified Analyst: Okay. And then just really quickly, can you talk about street rent trends within the west coast markets and the taxes one.
John Reyes: Well, I don't know the numbers of hand, I can just intuitively the west coast street rates are slightly up year-over-year, Texas down year-over-year.
Unidentified Analyst: Do you know if the negative growth rate in Texas has improved it all, because of the Hurricane?
John Reyes: Well, we're, as Ron mentioned, we were running the test when the markets and the market they had, people running that test happen to be in Houston, but then when the Hurricane hit, that kind of through a monkey ranch into a lot of things we were dealing, so the rents were kind of little wacky down there but none the less, they are not really up year-over-year, even if you account for the uplift in Japan and Houston. We really can't jack up our rents during the - I think you know it.
Ron Havner: The natural disaster such as bad time, so we kept the rents in check.
Unidentified Analyst: Okay. That's very helpful. Thank you.
Operator: And your next question comes from line of Ki Bin Kim with SunTrust.
Ki Bin Kim: Thanks, good morning guys. Going back to the acquisitions topic, what is your current appetite for larger portfolio deals given some of the slowdown we have seen in fundamental, do you think it's like the right time to buy and of course is a bit spread close to what you think is unrealistic.
John Reyes: Is your question really like what is the acquisition environment? Or what are we invested in doing?
Ki Bin Kim: Both.
John Reyes: Well, the environment acquisition activity, velocity transactions, low demand strictly from last year. Couple of reasons, I think the bid desperate has widen and I think it continuous to wind as forward growth projections come down by buyers and the sellers continued to hope for 2016 pricing. So that's one. Two, in terms of what we will be willing to do, same answer I gave on New York, we are invested in one property or 100 properties, it simply depends on the quality of the assets, the price per foot, where the rents are what competition ratios, all those things that we evaluate on one property we do on 100 properties.
Ki Bin Kim: Okay. And you guys obviously tested unsecured debt markets, this time, this quarter. Given the favorable response just curious your appetite to do more of it and at any given moment, how much expansion capital, external growth capital do you think you can raise today including debt or preferred?
Ron Havner: We have tremendous amount of capacity to raise capital either debt or preferred and whether we used debt or not, it really depends on what the opportunity today, how much money we need, use process and what's happening in other capital markets. So, up until September we have been tapping the preferred market, when rates are 490 to 510 in the preferred market will probably go to that side of the market versus the debt market. When you go to the debt market you need to raise $400 million to $500 million, so you need to pretty meaningful user proceeds. You have anything to ad John.
Ki Bin Kim: I guess that question, how much do you think you can raise without or where you feel comfortable with the leverage ratio for the company?
Ron Havner: A lot.
Ki Bin Kim: Alright, thanks guys.
Operator: And then the next question comes from the line of Vikram Malhotra with Morgan Stanley.
Vikram Malhotra: Thanks for taking the questions, just one follow up on the, these estimated same-store revenue the 1.6% you refer to, John, just sort of adding your comments or taking your comments for property taxes, I am assuming sort of a more normalized expense rate is sort of in the 2% to 3% range. Do you envision sort of then therefore using that math same-store NOI potentially trending down may be stabilizing somewhere some 1%?
John Reyes: Well that doing your math that would certainly indicative, if revenues at 1.5% to 2% and expenses are at 1.5% to 2% or 2.5%, is the math as you have 1% to 2% NOI growth. One thing you need to keep in mind as we kind of rent roll down here and have all the occupancies but don't have much haven't had much pricing power of late, is that the comps will get easier and one of the things we've - you need to tie to express the people is that in 2017's coming of some really exceptional comps in 2016 and 2015. But certainly I touched on Houston earlier certainly the comps for Houston in 2018, will be much easier than they were here in 2017.
Vikram Malhotra: Okay, and then just to follow up on a prior question, just tactically going into in Q4 and maybe 1Q are you considering any specific steps or strategies like you did with Houston the prior quarter any sort of test that you are planning to run you can share any color with us?
Ron Havner: There's nothing in the works right now so, I think we'll just continue look our marketing wise we will continue to spend more probably on the internet. I think we did a television in the fourth quarter of last year, we probably will forgo that, that this year-end deferred those funds into the internet that other than that there is nothing, nothing really new deliver without we're going to be testing us at the moment.
Vikram Malhotra: Okay. Great thanks.
Operator: And your next question comes from the line of Michael Mueller with J.P. Morgan.
Michael Mueller: Hi. First going through your comments about development when you look at your pipeline you have had about 500 to 600 plus million in process for some time for probably couple years at this point. As you look forward over the next year or so, do you expect any meaningful I guess shrinkage to that pipeline or do you think you are going to be at that same level?
Ron Havner: Yes Mike. We ended last year at 660 million, but I think that was up 100 million and 150 million from the beginning of 2016, you are right, we have being running about 600 million, I see that continuing for probably the next 12 to 18 months at least.
Michael Mueller: Got it, okay. And going to NOI growth looking at the expense lines, it looks like you year-over-year expense growth was down meaningfully compared to prior quarters almost across the board, I know you touched on add spending but when you look at the summed-up quarter here does it feel little bit more like normally or a little bit more like normalize go forward level?
Ron Havner: Well utilities were down 2.9% year-to-date they are down 1% it's so obviously been benefitting from lower oil prices that comps to get a little tougher next year now we move always depends on the weather. The big swings really are we're in the advertising year-to-date television is up for Q3 is down and as John just touched on we did Q4 television last year we probably won't do that this year although the internet spend will be up, but my guess is the advertising line will be down in Q4. The other items there is an item here and item there, but historically 2% to 3% is what I would expect in terms of the expense growth?
Michael Mueller: Okay. That was it. Thank you.
John Reyes: Thank you.
Operator: And your next question comes from the line of [indiscernible] with Jefferies. And your next question comes from George Hoglund with Jefferies.
George Hoglund: Hi guys. Just want a question in terms of the New York, it sounds like New York might have been a little bit better than expected any kind of comments can you give on trends in New York and how that's going relative to expectations and how you feel market is going forward?
Ron Havner: Well New York has been bouncing around couple of percent revenue growth hasn't been strong, but it has been meaningfully weak. We have done some management changes in New York over the last year, year and half, as the team is doing well so, we have got a strong team operation in New York and I think they are executing. There is new supply in New York, I don't think from what I understand there is more on a way, so my anticipation is New York will be an increasingly challenging market for new supply, but it's been going okay in New York. Not really stronger as the West Coast markets but not the problems of the Texas market.
George Hoglund: Okay. Thank you.
Operator: [Operator Instructions] And we do have a question from the line of Smedes Rose with Citi.
Michael Bilerman: Hey, it's a Michael Bilerman here with Smedes. Ron or John just thinking about the speed and the occupancy throughout the quarter, but as I think back to last year in the fourth quarter you effectively being most of the occupancy from where you started, so you started the quarter at 94.2% and the average 93.8% for the fourth quarter of last year. You are coming at the end as you said down 110 basis points at 93.2% I assume there is some rounding going on there. How should we expect that trend line and certainly how is it today relative to last year to know whether that spread compresses or whether it expands?
Ron Havner: I think as I have - the few days ago that I looked at the occupancy spread, occupancy spread the negative spread has narrowed quite a bit, so that 1.1% negative spread that we had at the end of the quarter as of few days ago and there to about 50 basis points, so currently have.
Michael Bilerman: And so when you throughout the math down 110 plus 270 have in place getting to 1.6% there is a possibility as the 50 basis points will also at same-store, revenue growth could be in access and certainly taking to account, Ron your comments that 60 [indiscernible] side deceleration from 15 which is a record occupancy year the tops for 2017 certainly look better from that respect?
John Reyes: Yes, and you know Michael you can be assure that we are working every day to try to narrow the occupancy spread and drive revenue growth.
Michael Bilerman: Well I guess the question; how aggressive you are going be on rate and discounts which would offset the gain in occupancy?
Ron Havner: Yeah, I, Michael again we're not, we've said this before, we're not just occupancy driven I mean occupancy just one leg of revenue growth so we're trying to balance the occupancy as best we can with rates and discounting. Looking at lengthen stay, looking at rate increases to existing tenants and how sticky that still remains, I want to make sure we're not disrupting the Apple car because those tenants that have been here for more than a year very important and a significant part of our revenue growth during the past and going forward. So there is a lot of components in that I mean the thing I wanted to do is narrow occupancy that there I say it's kind of easy to do but it's not the best, may not be the best thing to maintain or the revenue growth we can get.
Michael Bilerman: Right. But the same talk you said earlier and that one market your drop rate significantly it didn't drive with the moving volumes to what gets out?
Ron Havner: I would say that's a special market I mean we've all been talking about Houston for a while now, but I would be worry about if I did something like that in San Francisco, Los Angeles there will be almost 99% occupied.
Michael Bilerman: Line up the door. Can you elaborate little bit on the rate increases to existing tenants sort of what levels are those are going out at what's the takeaway on those in terms of acceptance versus negotiations just a little bit more color around the aspect up of the revenue stream?
John Reyes: We continue to send out increases to the existing tenant base, I'll be at touched upon the two markets the Houston market as well as all of the Florida market where we deferred increases. We will probably not pick them back up until December so we're going to forgo those that benefit of increases, it will be a negative hit for us in the fourth quarter. Ron mentions about a 0.5 million drag irrespective with those two I would say markets the rest of the markets we're continuing to send them out just like normal [indiscernible] move out activity. The percentage monthly increased that have been that are being given our very consistent work last year.
Michael Bilerman: Last question just on Europe. We want - just give an update as to where those stand today in terms of performance and overall sort of direction of how you see you're holding evolving there?
Ron Havner: Sure Michael. Europe for the quarter same-store revenue growth was up 2.2%, NOI was up 1.3%, we had an uptick in expenses both in advertising and R&M during the quarter, so expenses were a bit above trend line at 3.7%, occupancy is 90.8, basically the same in year-over-year, last year was 91.1. And in place rents are up 2.3%, that's on the same-store pool, continue to benefit from the acquisitions, dealing up those in both Holland and Germany and couple we did in France. They're all filling up nicely. And in Europe we've been ramping up our development and so, we have about an $80 million development pipeline, it should be invested over the next 12 to 18 months, properties mainly in Germany and London.
Michael Bilerman: Thank you.
Ron Havner: Thank you.
Operator: And your next question comes from the line of Juan Sanabria, with the Bank of America.
Juan Sanabria: Hi, thanks for the time. Just hoping you could talk about street rates and how that trended year-over-year throughout the third quarter and into the fourth?
John Reyes: Yeah. I don't have that data - I mean, what I mentioned was what the moving rate was, because it's to me, that's a more important data point, and what people are actually taking and moving in, and it's additive to our revenue growth. As I mentioned earlier, the take rate was down about 3%, during the quarter versus the same quarter of last year. I would suspect that our street rates were probably down about similar amounts.
Juan Sanabria: Okay. And then on the acquisition side, hoping you could talk to kind of what kind of cap rates, you would be comfortable underwriting on a stabilized basis for primary and secondary markets?
John Reyes: I can give you general numbers, it really depends on the markets, the sub-markets, the quality of the asset, the competition ratio, demographics, a whole variety of factors. I think, what we've been saying is in general we're developing to 8% to 9% yields and acquisitions 6% to 7%.
Juan Sanabria: Thank you.
Operator: And your next question comes from the line of Jonathan Hughes with Raymond James.
Jonathan Hughes: Hey, thanks for taking my questions. I think, I heard this right earlier, but sounds like Chicago and Miami, saw an outsized expense growth in the quarter, and I'm guessing that was due to tax hikes, do you see this headwind continuing into 2018 or do you see coming down to maybe low single-digit increases?
John Reyes: In tax rates or its overall expenses?
Jonathan Hughes: Tax.
John Reyes: I think you're right, to your point about taxes is driving that some of the expense growth in those markets it's probably true. Some of those markets have been early aggressive, will they continue to be aggressive into next year? Possible, we now it's kind of embedded when I said earlier that I felt like tax, probably tax increases are still going to be in the range of about 4.5% to 5%. I think, we're going to still see increases in [indiscernible] County in Chicago, as well as in the Florida market. The only maybe positive thing we might see is I think there's been some discussion in Huston about possibly lowering property tax assessments, given the damage caused by the Hurricane, but that remains to be same.
Jonathan Hughes: Okay, thanks for that. And then just one more, you mentioned you'll be opportunistic with the usage your cash balance, I mean does that share buybacks and if so, what you look at when determining that as an option?
Ron Havner: Well, I think we have ended the quarter was about $700 million of cash on the balance sheet. We have got about 400 to spend on our development pipeline and I think in quarter we had 50 million or 60 million of acquisitions under contract and we've got few other things. That there is not, more than kind of a couple of 100 million there that we can't point to and say here's the potential use. As I've said on previous calls, share buybacks always wanted the menu items in terms of allocating capital, whether we do developments, redevelopments, acquisitions, retired debt or share repurchases depends on what is the opportunities there, what do we think the rates of return are going to be, and then our, and of overall financial liquidity. So, we've been authorized share repurchase program and that is one of the menu new items in terms of allocating capital.
Jonathan Hughes: Okay. Thanks for taking my questions.
Ron Havner: Thank you.
Operator: And ladies and gentlemen, that does conclude the Q&A portion for today's call. I would like to turn the call back over to Mr. Clem Teng, for any final statement.
Clem Teng: Thank you for your attendance this afternoon and we'll talk to you for our year-end earnings in sometime in February.